Operator: Good afternoon, and welcome to the Sangamo BioSciences teleconference to discuss Third Quarter 2016 Financial Results. This call is being recorded. I will now pass you over to the coordinator of this event, Dr. Elizabeth Wolffe, Vice President of Corporate Communications.
Elizabeth Wolffe: Thank you, Liz. Good afternoon and thank you for joining Sangamo's management team on our conference call to discuss the company's third quarter 2016 financial results. Also present during this call are several members of our senior management team, including Sandy Macrae, President and Chief Executive Officer; Ward Wolff, Executive Vice President and Chief Financial Officer; Dale Ando - Vice President of Therapeutic Development and Chief Medical Officer; Michael Holmes, Vice President of Research; and Curt Herberts, Vice President and Head of Corporate Development. Following this introduction, Sandy will highlight recent activities and the significant events from the past quarter. Ward will then briefly review our third quarter 2016 results, as well as our financial guidance for the remainder of 2016 and Sandy will provide an update on our ZFP therapeutic programs and update you on our goals for the remainder of 2016 and beyond. Following that, we will open up the call for questions. As we begin, I'd like to remind everybody that the projections and forward-looking statements that we discuss during this conference call are based upon the information that we currently have available. This information will likely change over time. By discussing our current perception of the market and the future performance of Sangamo with you today, we are not undertaking an obligation to provide updates in the future. Actual results may differ substantially from what we discuss today, and no one should assume at a later date that our comments from today are still valid. We alert you to be aware of risks that are detailed in documents that the company files with the Securities and Exchange Commission, specifically our quarterly reports on Form 10-Q and our annual report on Form 10-K. These documents include important factors that could cause the actual results of the company's operations to differ materially from those contained in our projections or forward-looking statements. Now, I'd like to turn the call over to Sandy.
Sandy Macrae: Thank you, Liz, and thank you all for joining us for our conference call to discuss our 2016 third quarter financial results, our recent events and our activities around the continued development of the company and the pipeline. It's truly been a busy and productive quarter at Sangamo. As I promised in our second quarter call, we're making significant changes in order to build an organization that can more effectively translate our ground breaking signs into genetic therapies that can transform patient's lives. Individually the steps are small, but this is how our goals will be achieved with steady and predictable progress. And while these activities are largely internal at the moment, their effect will become evident to the outside world in our achievements and actions going forward. We are mapping out a path of clear goals and creating an organization that is built to achieve reliable success. As I mentioned in the last call, we had an important Board of Directors meeting in late September. This was our yearly strategic planning meeting and my first Board of Directors meeting as CEO. At that meeting, we laid out a detailed business plan and I'm delighted to report the board were very pleased with the near and long-term path that was outlined and gave us their blessing to move forward on it. I must also tell you, I'm very impressed with the hard work the leadership team has put in to generating this plan and the willingness of everyone within the company who put in the hours and to embrace the changes that we have proposed. And as I mentioned, while many of these activities have not been particularly visible to investors, they are already making a huge difference to the efficiency, cohesion and morale of the organization and I believe they will maximize our potential for success in the coming year and beyond. But before I tell you about our plans, let me recap some the recent accomplishments. As we promised we resolved our supply issues and initiated the Phase 1/2 clinical trial for our in vivo genome editing program for hemophilia B. We have three sites open in California and we'll be qualifying and opening additional sites in other parts of the country in the coming weeks and months. We are not going to comment on individual subject recruitment or to report on these subjects progress, but we'll report meaningful clinical data when we have it most likely at appropriate scientific or medical meetings. Early in the quarter, we also noted that we received orphan drug designation from the U.S. Food and Drug Administration or FDA for this program. I will provide more information benefits of this regulator designation and our regulatory strategy later in the call. I would like to point out that is our first ever in vivo genome editing program to go into the clinic. This is a landmark for the field. Our hemophilia B program is also the first clinical program using our albumin based zinc finger nuclease or ZFN in vivo genome editing platform and potentially has many more applications. We promised to file an investigational new drug or IND application for our hFVIII cDNA AAV approach for hemophilia A this year. We remain on track to do this. We also submitted to the FDA the results of our in vitro experiments that we repeated in the mucopolysaccharide doses or MPS I and MPS II programs. As we anticipated we received clearance from the agency to move forward with Phase 1/2 clinical studies for both of these indications. We are delighted to be able to proceed with these important clinical trials and are working hard to initiate them. I look forward to providing an update on our progress in early 2017. As I alluded to in the last call, based on improvements in our core technology, we've generated new more specific ZFNs directed to the BCL11A enhancer for treatment of beta-thalassemia and sickle disease. These are programs that we are advancing with Biogen and I expect more to see on these improvements and progress in that collaboration in future calls. And finally on a slightly different note, on October 3rd our exclusive licensees in the development of ZFPs for use in improving plant crops Dow AgroSciences announced that they have completed a nonexclusive global option in licensing agreement on the EXZACT Precision Technology platform for research and commercial development of new crop solutions across Monsanto company's research portfolio. This platform is based on our ZFP technology for genome editing and gene regulation. And while Dow has not been very vocal in the past about their use of this technology quoting the press release issued jointly by the companies confirmed our technology is under active development for crop improvement. The Vice President of Research and Development at DAS, Dan Kittle noted that EXZACT Technology is helping to deliver next-generation crop improvements into the hands of farmers and Monsanto's bio technology lead scientist added that zinc finger nucleases are well-established technology for gene editing and that Monsanto is pleased to pursue applications of this genome editing technology for the development of new plant discoveries and solutions for farmers. So in all this has been a busy and productive few months and we expect the pace of progress to continue and visibility to increase as we head into 2017. But before we go into more detail in our ZFP therapeutic programs and the plans we discussed with our Board of Directors, let me hand the call over to Ward for an update on our third quarter 2016 financial results as well as our financial guidance for the end of the year. Ward?
Ward Wolff: Thank you, Sandy and good afternoon, everyone. As you know, after the close of the market today we released our financial results for the third quarter ended September 30, 2016 and I am pleased to review the highlights of those results with you now. Revenues in the third quarter of 2016 were $2.8 million compared to $8.6 million for the same period in 2015. Third quarter 2016 revenues comprised revenue from Sangamo's collaboration agreements with Biogen and Shire enabling technology agreements and $100,000 revenue from research grants. The decrease in collaboration agreement revenues was primarily due to a decrease in revenues after the amendment of our collaboration and licensing agreement with Shire in the third quarter of 2015 which returned the rights to the hemophilia programs to Sangamo as well as the decrease in revenues from the Biogen agreement as the initial research phase of these programs is matured and activities during this quarter were largely internal. In the third quarter of 2016, Sangamo recognized $1.2 million of revenues related to research performed under the collaboration agreement with Biogen and $200,000 revenue related to research services provided under the collaboration agreement with Shire. In addition, pursuant to the agreements entered into with Shire in January 2012 and Biogen 2014, Sangamo received upfront payments of $13 million and $20 million respectively. The payment from Shire is being recognized on a straight-line amortization basis over the initial six-year research term. Beginning in January 2016 the payment from Biogen is being recognized on a straight-line amortization basis over approximately 42 months which reflects the revised service period related to our deliverables under the agreement with Biogen. Sangamo recognized $500,000 of the Shire upfront payment and $600,000 of the Biogen upfront payment as revenue for the third quarter of 2016. Total operating expenses for the third quarter of 2016 were $22 million compared to $21.3 million for the same period in 2015. Research and development expenses were $17 million in the third quarter of 2016 compared to $16.7 million for the third quarter of 2015. General and administrative expenses were $5 million in the third quarter of 2016 compared to $4.6 million for the same period in 2015. Total non-cash stock-based compensation expense was $2.7 million for the quarter with approximately $1.8 million in research and development and approximately $900,000 in general and administrative. For the third quarter of 2016 the company reported a consolidated net loss of $19 million or $0.27 per share compared to a net loss of $9.2 million or $0.13 per share over the third quarter of 2015. I refer you to today's press release for a summary of the nine-month year-to-date results. Turning to the balance sheet Sangamo ended the third quarter of 2016 with $155.4 million in cash, cash equivalents, short-term investments and interest receivable. Our net cash used in operating activities was $17 million for the third quarter ended September 30, 2016 resulting in $53.6 million net cash used in operating activities for the year-to-date. Regarding our financial guidance for full-year 2016, we are reiterating our guidance from our second quarter call. We expect to end the year with at least $140 million in cash inclusive of research funding from existing collaborations as well as funding from grants, but exclusive of any new funding from collaboration and partnership, equity financing or other new sources. With regard to operating expenses and revenues, we continue to expect operating expenses in the range of $85 million to $95 million and revenues in the range of $12 million to $17 million for the full year of 2016. Revenues include partial recognition of upfront payments and reimbursement of research services from existing collaborations. In summary, we are on track to execute our operating plan for the remainder of 2016 and possess the balance sheet strength to advance our clinical portfolio to important data readouts over the 2017 and 2018 timeframe. Thank you. I will now turn the call back over to Sandy.
Sandy Macrae: Thanks Ward. As Ward outlined we have a solid cash position and expect to end 2016 with $140 million in cash and cash equivalents which will allow us to accomplish our near and midterm goals to initiate and carry out these all important clinical trials. We understand that this is critically important and initiating clinical trials on our four proprietary programs is a major focus for the company in the next six to nine months. Let me give you some insight into our activities since I joined the company in June, which includes some of the areas that we discussed with the board. One of the first things that we did as we began to formulate our business plan was to go out to investigators and analysts as well as our business partners and academic collaborators and ask what you thought Sangamo did well and what the company could improve on. First, thank you to all of you who helped us by giving us very useful feedback. Obviously these different groups had some areas of focus that were specific to each, however in general the responses were remarkably consistent across all constituencies and while there are some pretty hard truths there was also some encouraging feedback. We learned that there was a general acknowledgement to our science and our scientists are outstanding and our scientists are perceived to be leaders in the genome editing field. There was an understanding that our company has potential and tremendous opportunities ahead. However, you also told us that our strategy was no clearly articulated. Expectations weren’t well-managed. We were underperforming and missing timelines. And there was clear frustration that we were not adequately translating our groundbreaking science into clinical progress. The need for clinical validation of the technology is obvious and our past inability to execute on clinical plans has clearly been a major deficit for the company. This is something that we will rectify beginning with the steps that we have outlined today. With this information at hand the rest of our business plan has been formulated to organize a company so as it can achieve its full potential as efficiently as possible. Our business plan was more than just a list of programs on which we wanted to focus, but also covered several areas for development of the company including developing a clinical organization that is adequately staffed and structured to translate our science into clinical trials and to carry these out efficiently. This has been a major area of focus for us in the past four months and we have then continued to make key hires into the clinical team to strengthen it. As you may have seen, Geoff Nichol who had served for over five years as our Executive Vice President or R&D recently left the company. Geoff has been a valuable member of the team and brought experience to the R&D organization. Personally I will be forever grateful to him for being a colleague for helping me transition into my new role. We wish him all the best in his future endeavors. As part of our recognition of the clinical group I'm putting a flatter management structure in place. I will not hire a new head of R&D, but will have Michael Holmes, our Head of Research report directly to me and hire a new Head of Clinical Development. This is a position for which we are actively recruiting and expect to hire soon. We are developing a regulatory strategy for a program which includes expansion beyond the U.S. for hemophilia and MPS clinical studies and a pathway to treatment of the pediatric population in these indications. We see pediatric patients as potentially benefiting the most from our genome editing approach and we are committed to moving these therapeutics into younger patients where the medical need is greatest. This must be carried out in a present fashion however, particularly for the MPS disorders. There's a striking need for better options for these children. As I mentioned earlier our hemophilia B program was awarded Orphan Drug designation in July of this year. This designation is important as it means that we are eligible for a seven-year period of U.S. marketing exclusivity upon approval as well as tax credits for clinical research costs, the ability to apply for annual grant funding, clinical trial design assistance and the waiver of the Prescription Drug User Fee Act, PDUFA filing fees. We are also developing a research organization that can only support efforts to generate IND enabling studies, but still has the capacity to do great and innovative science for which it is rightly famous. The team is already beginning to refine this module and forward to sharing more details some of the game changing improvements that they have made to the technology that will not only benefit immediate programs like the Biogen collaboration, but will have far-reaching consequences for the power of the entire populations and our programs going forward. We have a mandate to continue to build our technical operations group which is being led by recent addition to our team, Dr. Mohammed El-Kalay who brings over 25 years of operational management experience in biologics manufacturing to our organization and will be responsible for overseeing all processes including external manufacturing. We have also been focused on corporate hygiene, a term which we use to include a variety of activities including strengthening processes and procedures for development and prosecution of our pipeline, optimization of organizational structure, general employee care and maintenance an on making Sangamo a great place to work. And last but not least, we're also working hard to improve our image and the communication of our strategy, expected milestones and progress. We will behave differently setting clear goals and achieving them on time. My anticipation is that we will not just look different for the sake of looking different, but our new face will truly reflect the energy, enthusiasm, and creativity of our people. The power of the technology that we have built and the potential we can realize to make a significant difference to the lives of patients and families. As I mentioned at the beginning of the call, we laid out plans in each of these areas for the board who are fully supportive and I look forward to further discussing the fruits of this plan with you in upcoming calls. In the immediate future we are focused on moving four propriety programs into the clinic, hemophilia A and B, MPS I and MPS II. Hemophilia B MPS I and MPS II are all in vivo genome editing programs. Our hemophilia A program uses an AAV including a hFVIII cDNA which we believe based on published nonhuman primate data has the potential to be best in class. While this is something of a departure from our previous ZFP focus, going forward we will use our considerable experience in gene therapy, genome editing, and gene regulation, to develop the best medicines that we can to serve patient need. We will complete the followup of subjects in our HIV T-cell program and we will look for an opportunity to present and publish the data from these studies. Our stem cell study is ongoing as an investigator sponsored study at City of Hope and funded in part by CIRM and we will continue to prosecute this trial through to its completion. However, we will not commit to additional studies or investment in HIV without a partner. In terms of the next wave of programs in our pipeline as you know we're also working with Biogen to develop ex-vivo genome editing applications for beta-thalassemia and sickle cell disease and expect to have more information to share in the progress of these programs in future calls. With positive data from the in vivo genome editing programs that are in or entering the clinic in the next months, we have additional propriety programs that we thoughtfully moved into our clinical pipeline. We have very interesting data in our other lysosomal storage disorder, particularly our [indiscernible] disease program. We also consider experience in genome editing of T-cells and continue to see T-cell oncology as a promising area for future collaborative ventures. One of the exercises I've undertaken since I joined Sangamo is to fully review and prioritize the company's research stage programs. As I think I mentioned before, one of the great discoveries I made when I joined Sangamo was that the science was so much better and I appreciated when I took the job. One of the outcomes of my review of research was the group was putting that science and technology to use in some very interesting applications. While we have focused the group, what is clear is that there are plenty of applications of our science that could fuel the long term pipeline and growth of the company. We have initiated the first trial of our in vivo genome editing platform, our hemophilia B study and expect our MPS I and MPS II studies to be opened in earliest 2017. All of these trials are dose escalation studies and will rule adult subjects. However, goal with sufficient dosing and safety data is to move rapidly into pediatric patients. We believe that our ability to make a permanent change to the genome is where the specific advantage of our genome editing approach lies and makes this an obvious choice for potentially lifelong therapeutic solutions. We expect to have preliminary data from these trials at the end of 2017 and when we have clinically relevant data we will present it at an appropriate scientific or medical meeting as has been our previous practice. So in summary, the third quarter was a very busy and productive period for us with a steady progress in terms of initiating clinical activities for our propriety programs and in the reorganization of the company and its procedures and programs. Some of this has been more visible internally and externally. However, it will all possess the impact the development and advancement of our therapeutic programs. While we are investing heavily in our organization, we expect to end 2016 with at least $140 million in cash and cash equivalents. We are in a position to file an IND application for the hemophilia A program this year and in the next year to achieve proof of concept in clinical studies which will provide not only safety and early efficacy data, but drive significant volume. Michael and my responsibility is to build an organization that is both mature and reliable, but nimble and imaginative. We will take small steps, but step-by-step we will achieve what we promise and in doing so make significant progress in bringing products to clinical development to the patients whose lives they can change creating shareholder value in the process. We look forward to updating you at several upcoming investment banking conferences. We are presenting at the Jefferies Global Healthcare Conference, the Piper Jaffray Healthcare Conference in November and the 35th Annual J.P. Morgan Healthcare Conference in January 2017 all of which will be webcast and available on the website. We also present preclinical data from our hemophilia program at the annual meeting of the American Society of Hematology or ASH in early December. This completes our prepared comments. I'd now like to open the call up for questions.
Operator: [Operator Instructions] Our first question comes from the line of Liana Moussatos with Wedbush Securities. Your line is now open.
Liana Moussatos: Congratulations on all your progress and thank you for taking my questions. I wanted you to clarify timing of data releases from the hemophilia and the MPS trials, did you say that that would be 2018 when the first data would come out or will be see maybe some interim data in 2017?
Sandy Macrae: Liana, thank you, for your call and your question. We want to get this data to you as soon as possible. We're starting the trials at the turn of the year and we hope to have some data in 2017, but it will be towards the end of that year or the beginning of 2018 is a reasonable expectation. We want to give you the data when it is actually most meaningful and so we'll wait till we have solid clinical information to share.
Liana Moussatos: Okay, and you mentioned progress with Dow AgroSciences and Monsanto. Is Sangamo receiving any royalties from agricultural product sales or research tools sales now?
Sandy Macrae: Thank you for your question. Curt?
Curt Herberts: So we have a standard agreement with Dow AgroSciences and we received a minimum annual payment and we haven’t given any additional guidance beyond that.
Liana Moussatos: Okay.
Ward Wolff: Liana, as you know we typically had a payment from Dow in the fourth quarter of the calendar year and we expect that as well this year.
Sandy Macrae: We were pleased by their validation of the technology.
Liana Moussatos: And before Sangamo had a research tools agreement, I think it was with Sigma-Aldrich and then they retired and is Sangamo receiving any payments from that/
Ward Wolff: We are Liana, yes modest payments though we did indicate earlier in the few quarters that sometimes that it increased due to significant licensing, but yes we still receive royalties.
Liana Moussatos: Okay, then my last question is, any progress in obtaining a partner for HIV since Q2?
Sandy Macrae: So we still have to talk about this HIV data and once we've pulled all that data together we will be active, we are in that and will be actively talking with companies who are expert in this field. Sangamo wasn't an HIV company and I think to best bring that medicine to patients it would have to be through another HIV company.
Liana Moussatos: Thank you very much.
Sandy Macrae: Thank you.
Operator: Our next question comes from Ritu Baral with Cowen and Company. Your line is now open.
Ritu Baral: Hi, thanks for taking the question. I wanted to dig in a little bit on the details of the ongoing hemophilia B study, one you said you have three sites open, what's the total site count going to be right now as planned?
Sandy Macrae: We don’t usually guide to that. We – this is – if you imagine this is a very important technical groundbreaking study, so we need to make sure that we only deal with the very best investigators. So we will – it will be posted on ClinicalTrials.gov as we work with it, but we are not discussing our plans for site opening.
Ritu Baral: Got it. The different doses, can you give us clarity on what the doses are and also will enrollment be staggered for any potential safety observation or DSMBs between the dose arms?
Sandy Macrae: I think that's very wise because we have to do this very prudently. Dale do you want to talk about this?
Dale Ando: In terms of the dose escalation we wait, we treat the patients, we're treating the initial patients on the dose escalation sequentially and before we move from one dose level to another dose level, we have a safety monitoring committee with three external experts and basically get the agreement from them to dose escalate. And this is not a discussion with the FDA but with our own external experts that comprise this committee.
Sandy Macrae: We feel it is important to do this carefully and prudently and I think the system that Dale has put together where we get external validation of the safety and to move on this is a very wise way to do it.
Ritu Baral: Sandy, when does that occur? How long do you need to say follow the first two patients before you'll start the mid dose?
Sandy Macrae: So for each patient we gather four weeks worth of data and then we accumulate that data and present it to the DSMB. So that process itself takes some days to gather the data an present it to them. But as soon as they approve it we will move on to the next cohort.
Ritu Baral: Got it, okay. And then the hemophilia factor in B this is the wild type factor not Padua is that correct?
Sandy Macrae: That's correct.
Ritu Baral: Okay, so given the recent gene therapy hemophilia B experience from other AAV non-gene editing based therapies is there anything that you, any lessons learned from dosing, from steroid use that that would be applicable to your program given the slightly differential biology, like how might you deal with liver enzyme elevations knowing that it means something a little different from you guys and does for the other AAV programs?
Sandy Macrae: So that's a very good question, it's a very important one and I think the first principle has to be that we think about the patient first and take advice from experts in the field. I think the use of steroids is something that has to be done carefully and well. At lower doses of virus I think one is able to avoid the use of steroids. But to have a very clear plan in place within the protocol if there is any changes in the liver function that you would initiate treatment of steroids. Dale and his team have taken advice from external experts including hepatologist who are very confident that the changes in liver function that we've seen are not damaging to the patients nor a significant health risk, but something we wish to avoid. So for the lowest doses for example in that trial we would, we do not feel that this steroid will be necessary. For higher doses of virus and in discussion with the MPS experts we have agreed with them that we will initiate steroid treatment as a prophylactic preventative measure at the beginning of the trial. The factor IX is somewhere in the middle. So the advice from the hemophilia experts is that steroids are not something they would choose to use with hemophilia patients. And so what we have decided as a compromise where we will initiate that trial without these steroids but monitor incredibly carefully and be very comfortable and prepared to initiate steroid treatment should we see any change in liver function. So I think what you're hearing is, the steroid question isn’t a simple binary one, but reflects which disease you're in, which patient population and what your virus dose is.
Ritu Baral: Do you have a set threshold for hemophilia B right now? Liver enzyme elevation threshold for starting steroid…?
Sandy Macrae: We do, but we have a very clear protocol for what we're going to do. We're not discussing that publicly.
Ritu Baral: Got it, and then last question on MPS I given those current population and the treatment are you going to be enrolling, are you going to be required to enroll enzyme naive or treatment naïve patients or what is the background of patients that you are going to be looking to enroll when those studies start in 2017?
Sandy Macrae: Yes, important because again this is about patients and patient safety and benefit risk. Dale do you want to have a word on this?
Dale Ando: Yes, so most of the patients will be on enzyme replacement therapy, but the half-life of that therapy is very, very short, it's about four to six hours. So this will allow us to continuously monitor level of IDUA in the blood in these subjects. The other group of subjects are subjects who have had a [indiscernible] transplant. But again even with a transplant the levels of IDUA are very, very, low so we will continue to measure it both tissue and plasma levels of IDUA.
Ritu Baral: Got it, thanks for taking all the questions, looking forward to the progress.
Sandy Macrae: Okay, thank you very much.
Operator: Our next question comes from Charles Duncan with Piper Jaffray. Your line is now open.
Charles Duncan: Hi guys. Most of my questions have been asked, but I appreciate the opportunity to ask one. I guess, on the hemophilia B program it sounds like you're not quite yet actively enrolling patients so may be premature to ask this, but how do you see the competition from other ongoing trials using gene therapy in this indication as challenging either site selection or perhaps patient enrollment?
Sandy Macrae: That's a good question and we are very cognizant of the small number of patients, the number of other competing therapies. Just to remind everyone that we provide this as a permanent solution, that's the proposition rather than gene therapy which one hopes it will last as long as possible for these patients but may not give them a lifetime solution. And that's why the plan that Dale and the team have put forward is to get some form of safety data to discuss with the agency and then move promptly into younger and younger children. The study is open. The study is recruiting. The patients are being screened, but there are as you know many trials ongoing and active and n so we await with interest the first patient.
Charles Duncan: And Sandy, do you think that we may be able to see some progress towards that more pediatric patient population yet over the next 12 months or so? That seems to me to be real point of potential value and differentiation?
Sandy Macrae: I agree completely. An unmet need which is what drives us here at Sangamo and I think that's a discussion that we've had with the agency and we will continue to have in hubs like that and more meaningful one when we have more data. It is right and prudent to start in our dosing and I think that would be my personal decision as well as what the agency has required of us. I think for MPS I and MPS II where the disease has sequelae if untreated early on. The argument for moving into children earlier is much greater where as for factor IX they may require more data of this in adults before we moved to children. My ambition is to find a way to move into children particularly in MPS I and II in 2017. It will depend on our speed of recruitment and on the data. We have been encouraged by, we've been contacted by MPS I and II patients. We've had discussions with the MPS Society and they really see this as an interesting and important trial and are giving us great support.
Charles Duncan: Okay, that's helpful, I look forward to that increased visibility. Sandy I wanted to ask you, I mean it is clear from other analysts questions that everyone is trying to figure out if there may be some clinical data in 2017 perhaps even ASH 2017 a little bit more than a year from now. And I guess I'm wondering have you conducted diligence in coming into this role? When you look at the preclinical trials and interactivity including the nonhuman primate data and you consider the dosing cohorts that you'll be starting in that hemophilia B study, would you anticipate possibly being in position to have data for ASH 2017 or at least early activity from some of the early cohorts?
Sandy Macrae: I have few questions, so when I came in and saw this data I've said before, the idea that we will drop a new gene into the albumin locus if somebody's liver is a fantastic piece of science. We need to go slowly and wisely because we do not want to end up with patients expressing large values of factor that will - we will never be able to turn off again. So we need to go very prudently. We're not promising times. If we have data that suggests activity we will make it known to the community. I think it will be at the end of 2017. I think we are pushing it to get it to ASH.
Charles Duncan: Okay, super. Well it's fair and I understand the caution or prudence in terms of not setting guidance. Last question and sorry for the multiple questions, but you've mentioned the recent September Board of Directors meeting and laying out a business plan. I guess I'm wondering, is there one key element that you would highlight that you think is going to be most value creating? I know that it's probably difficult to select just one, but what would you want to be known for in the next 12 and 24 months?
Sandy Macrae: Reliable delivery, small steps, doing the right thing again and again and that was the discussion with the board. So that's why we're focusing down on these four things, getting the right people and to be able to make it happen and not overpromising, not overreaching, just making it happen small steps at a time.
Charles Duncan: Okay. Thanks for taking my questions.
Sandy Macrae: Our pleasure.
Operator: Our next question comes from James Birchenough from Wells Fargo. Your line is now open.
James Birchenough: Hi Sandy, congratulations on all the progress. I guess a clarifying question and then I've got a deeper question. The clarifying question is just would the initial dose you are starting at in hemophilia is that expected to be therapeutic or is it slightly some therapeutic, how do we think about where you are starting?
Sandy Macrae: We will be fortunate to see a therapeutic effect at that dose, we may do, but this is, we have to start low, we owe it to the patients to start low until we can understand. This is the first time. I want to keep underlining it is the first time anyone has put a new gene in somebody's liver and we need to get this right and if that involves us taking an extra cohort to get there that's what we need to do.
James Birchenough: So I guess following on that, at what point would you anticipate having, being in the therapeutic range where you'd expect to see a signal that obviously is the second cohort, third cohort or is it hard to say that this point?
Sandy Macrae: I would imagine second cohort is when we will be looking third cohort is when we will be demanding it to show us results. And remember as I said with Liana at the start we take time between each patient and then after we've had a cohort of two patients, we get external validation it is safe to increase. And so we need to march this reliably throughout the year and that's why even the second cohort data we will be in the mid to latter part of the year and we would only talk about if we felt it was truly meaningful and informative. I think there is a danger that we come out with data that is not completely convincing, that we will all dissect this and not be able to make the right decisions.
James Birchenough: And then Sandy, you know thinking about historically some of the challenges Sangamo has had and part of it was not appreciating the technical challenges in HIV as an example. And so when you think about the technical challenges for your first program in hemophilia B, how do you think about the challenge of using three vectors and might be helpful for us to understand how you thought about is there particular challenges manufacturing a product with three vectors, is there is a capsid load from three vectors that create some risk in terms of immune reactions? And not introduced math into the conference call, but if we think about transfection efficiency should we think that you've got that transfection efficiency of 80% for each vector to just go 0.80 and you've got a 0.5 transfection efficiency? How do we think about because these things, because I think technical challenge has often been not really properly [indiscernible] if you are trying to do that?
Sandy Macrae: Absolutely, and so we are making sure we hire the right people. One of the most important hires over the past couple of months was Mohammed who has got this wise experience and is building technical operations group and process development group to maximize that. But may be Mike you could touch on three vectors and the efficiency of transfection?
Mike Holmes: I know, happy to. In terms of the three vector systems we chose that system because we found that in our preclinical studies it was the most efficient in terms of providing this with the highest levels of gene modification and expression of therapeutic transgene. The three vector system in terms of thinking about the transduction efficiency itself the abductor is very efficient for transducing liver hepatocytes and so in the three vectors that are infused essentially they are mixed together and we found that liver hepatocytes very efficiently take up all three vectors and really it was during our preclinical studies that were really optimized what was the optimal dosing ratio in terms of providing the two vectors and donor vector. And to ensure that an awful number of parasites received are all three vectors. And so, it was really these preclinical studies that really informed as far as what our strategy was going to be and really identified what the dosing ratio was to get awful amounts of gene modification and target integration.
James Birchenough: And then maybe a similar scientific question, when you think about the hemophilia A program and what you've seen in nonhuman primate and you think, I think you've said tenfold expression level or there is a big difference in terms of what you're seeing in those models versus others, is that a function of a improved transduction efficiency, is it expression efficiency, is there something about the promoter system or is there anything about the conditioning that you are using in the nonhuman primate that makes the difference? I'm just trying to understand if you've broken that down at all?
Sandy Macrae: So, that's a great question because we are very pleased and proud of that project. Bridget [ph] has done a great job in coming up with a very effectively expressed construct. And I think until we get into humans we will not know exactly how it compares against SPARC and against BioMarin and so we are under promising and asking you all to be patient and let's see head-to-head in patients. However the NHP data is very enticing and encouraging. Mike do you want to talk about the molecular biology that went into and then the way our experiments are designed.
Mike Holmes: Certainly, in terms of the molecular biology the two main problems with the factor cDNA approach is that the those experiences really one of designing a vector that could efficiently express factor rates and design a vector that was small enough and had the appropriate properties to efficiently package the vector. And I think what we set out to do was take a very general process to make modification of the vector that would number one improve vector expression and allow us to improve the package efficiency such that we could manufacture this vector at scale and provide sufficient vectors to support clinical studies. And really there was quite a bit of work on every component of the vector in terms of the factor cDNA, the expression cassette as well as the promoter, the liver specific promoter that is used to additionally drive expression of factor VIII. And it was really by optimizing all these different components and putting them together that we were able to generate what we would think is the potential best in class vector that really solved these core issues. Number one, once again getting high levels of factor expression and while being able to produce and manufacture this vector at sufficient scale to support clinical studies.
Sandy Macrae: And Mike, do you want to touch on the seriousness, because this is a question that we've had from several sources?
Mike Holmes: So obviously our first days were in mice and then we moved into nonhuman primate studies and the idea is obviously is one of the big problems is that factor VIII is well I should say human factor VIII which is expressed by our vector is highly immunogenic in mice and nonhuman primates. And when we set out to do the study we essentially wanted to prevent this host immune response of the nonhuman primates from essentially targeting and clearing the human factor VIII from the plasma. So what we did is, we treated the nonhuman primates with steroids that would allow us to appropriately assess the levels of factor VIII independent of the host immune system within nonhuman primates essentially targeting and clearing this protein out.
James Birchenough: Great, well thanks for spending all that time and very helpful and congrats again on the strong start.
Sandy Macrae:
Operator: Thank you.
Operator: Our next question comes from the line of Gena Wang with Jefferies. Your line is now open.
Sandy Macrae: Gena, how are you?
Gena Wang: Thank you. I'm good how are you?
Sandy Macrae: I'm very well, thank you.
Gena Wang: Thank you. So I will ask two questions and one followup question regarding hFVIII AAV program. So the first one is, wondering if you know the percentage of empty capsid?
Sandy Macrae: Do we know the percentage of empty capsid?
Gena Wang: Yes.
Sandy Macrae: So certainly we've done a variety of characteristic studies on our AAV vector. So obviously it is very well-characterized, but we're not really going into the details of all the different analyses and assays that are done to qualify this vector.
Gena Wang: I see, so just wondering if you could give a range is that like, I mean below 40% or is that?
Sandy Macrae: Gena, I know that some people try to meet a thing of empty capsid even adding empty capsid is not something we discuss.
Gena Wang: Okay, and then maybe for the [indiscernible] in the nonhuman primates and so just wondering have you done any studies without any sort of major yields in nonhuman primates, because some argument is, other nonhuman primates data that did not have the steroid use and would that be a apple to apple comparison if it has been really different?
Sandy Macrae: Gena, you are absolutely right as always, but it is an important question. Nonhuman primates are a precious resource, not just because of cost but because of the antics of abusing them in lots of experiments. The data we have seen shows if there is any data any difference in steroids and non-steroids is small and it doesn't explain the difference that's been seen between our data and data such as Biomarin. However I would guide you again to what I said, I think with Jim which is until we go into humans and compare like with like I don’t think we will properly understand the relevance of the nonhuman primates. It is a significant difference we see and encourages and has driven us forward with this until now.
Gena Wang: Okay, so also another question is regarding the data for hemo A program since this is relatively straightforward gene therapy approach versus the hemo B and epilepsy program, should we expect to see the initial clinical data earlier than ASH like ETA, is that possible?
Sandy Macrae: So as this call has gone no one first has talked at ASH and no where earlier than us. I think I will be acting as an ambitious, I would love to have the data as soon as possible because I think this is a really important program for Sangamo and it speaks to the excellence of our science the diversity of our approach and our focus to deliver. I promise you that as soon as we get an indication of the efficacy we will talk on this.
Gena Wang: Okay and I have a last question regarding the MPS I and II programs, just wondering will the initial dose also similar to the hemo B IBPIP [ph] program at around 12 range?
Sandy Macrae: It will be similar dose.
Gena Wang: Okay and then since patient was started with steroid will you plan to taper off at some point?
Sandy Macrae: Yes, I'm an endocrinologist and steroids are often given safely and well and as long as you have a very clear plan and so we have very clear tapering plan that we've agreed. We've taken advice from both experts in the field and other physicians so as we can treat these patients as well as possible.
Gena Wang: Thank you.
Sandy Macrae: Thank you, Gena.
Operator: Our next question comes from Whitney Ijem with JPMorgan. Your line is now open.
Sandy Macrae: Whitney, good afternoon.
Whitney Ijem: Hi, thanks for taking the questions. So first one just to go back to the hemophilia B trial, I fully appreciate that you don’t want to share sort of immature data, but I guess what will we see as the trial progresses? I guess you plan to announce kind of first patient treated and then when you move to the second cohort or how will we be able to track the progress without actually seeing any data?
Sandy Macrae: We will talk as soon as we have meaningful clinical data.
Whitney Ijem: Okay. And then in clinical I think I recall you mentioning that you plan to use adaptive trial design or something maybe differentiated the hemophilia B, am I correct in that and then if so is there any more color you can give there?
Sandy Macrae: Yes, it's I think what we're going to do I the kind of technique that they use for small molecules more frequently where you learn from the dosing that has been, the pharmacokinetics of the dosing that's happened before to choose which dose you then increase to and we hope by doing this we can make as many data points useful in predicting the final dose that we get to and that we can move into clinically effective doses early as possible. We want to get our data out and competing with the others as soon as possible. So our urgency is as great as yours.
Whitney Ijem: Got it. I will leave there. Thanks for taking the questions.
Sandy Macrae: Thank you, Whitney.
Operator: [Operator Instructions] Our next question comes from the line of Roy Buchanan with Janney Montgomery Scott. Your line is now open.
Roy Buchanan: Hi, great. Thanks for taking the question, just a quick one. You guys have presented on some LCHN constructs "off-the-shelf" have you guys voted off target can you give a sense of what that rate is if you have? Thanks.
Sandy Macrae: Mike, what can you talk about that?
Mike Holmes: So certainly in the data that we presented we had designed some off-the-shelf reagents that were able to target right on top of the most common mutation and sep 290 [ph] and it’s a very difficult target to go after for a variety of reasons in terms of really trying to target right on top this precise mutation. And I think with our technology it essentially allows us to really precisely target right on top of this mutation and we could see very high levels of gene modification that were approximately 85. You said it was about 85% on target modification, essentially being able to generate these reagents within a couple of weeks. I won't say that these particular reagents we haven’t looked at the specificity along in that data package or presentation at the meeting we certainly had talked about the sep 290 as well as, or ability to target the TCR Alpha gene that involves expressing the T-cell receptor in primary human T-cells and certainly off-the-shelf reagents showed very high levels of greater than 90% on target modification with no detectable off targets. I think really this presentation was going about just talking about how very quickly we could generate reagents that precisely target a unique site in the genome with a high degree of specificity. And especially 290 we had looked at off target specificity but reagents in general have been very specific.
Sandy Macrae: And Roy, just to explain both our normal process would be, so we have these off-the-shelf over to the library constructs of the fingers and we were delighted that we could get up to 85% cutting of this locus. What we would then do would be to tune them to turn down any off target. And what we found increasingly even over the time that I've been here is that we have great control of off target cutting and can take it down to levels are right at the detection level of the current assays. So I have great confidence that if we ever did choose to follow LCHN that would not be a problem.
Roy Buchanan: Okay, got it thank you.
Sandy Macrae: Thank you. Liana, do you have another question?
Operator: The next question is from Liana Moussatos.
Liana Moussatos: I forgot to ask, what's the status of the Huntington's program?
Sandy Macrae: It is in the hands of Shire and we believe that they are, you know when we talk with them they are loving it and taking it forward.
Liana Moussatos: Okay, but we don’t know about clinical progress or anything?
Sandy Macrae: It's in their hands and it's most appropriate for them to talk about it.
Liana Moussatos: All right, thank you very much.
Operator: And that concludes today's question-and-answer session. I'd like to turn the call back to Dr. Macrae for closing remarks.
Sandy Macrae: Thank you, Liz. We'd like to thank you for joining us and we look forward to speaking with you again when we release our fourth quarter and end of the year financial information in early 2017. We will all be available later today if there are any followup questions. So I wish you all a good afternoon.
Operator: Ladies and gentlemen, thank you for your participation in today's conference. This concludes the program and you may now disconnect. Everyone, have a great day.